Operator: Thank you all for standing-by. And welcome to the conference call hosted by Daré Bioscience to review the Company’s Financial Results for the Quarter Ended June 30, 2021, and to provide a General Business Update. Please note that this call is being recorded. This is Jessi, and I’ll be your operator today. With us today are Sabrina Martucci Johnson, Daré’s President and Chief Executive Officer; John Fair, Daré’s Chief Strategy Officer; and Lisa Walters-Hoffert, Daré’s Chief Financial Officer. Ms. Johnson, please proceed.
Sabrina Martucci Johnson: Thank you. Good afternoon and welcome to our second quarter 2021 financial results and business update call for Daré Bioscience. Our plan today is to review last quarter’s results, discuss developments since our last call in May and use the time to highlight objectives and milestones anticipated for the balance of 2021. Before I begin, I’d like to remind you that today’s discussion will include forward-looking statements within the meaning of the Federal Securities Laws, which are made pursuant to the Safe Harbor provision to the Private Securities Litigation Reform Act of 1995. Any statements made during this call that are not statements of historical facts should be considered forward-statements. Actual results or events could differ materially from those anticipated or implied by these statements due to known and unknown risks and uncertainties. You should not place undue reliance on forward-looking statements. Forward-looking statements are qualified in their entirety by the cautionary statements in the company’s SEC filings, including our Form 10-Q for the quarter ended June 30, 2021, which was filed today as well as our Annual Report on Form 10-K for the year ended December 31, 2020 was filed on March 30, 2021. I would also like to point out that the content of this call includes time-sensitive information that is current only as of today, August 12, 2021, Daré undertakes no obligation to update any forward-looking statements to reflect new information or developments after this call, except as required by law. Daré is a leader in women’s health innovation, and we are squarely focused on improving the lives and well-being of women. Our value creation strategy is to accelerate availability of new prescription products for women by selecting and advancing product candidates that we believe have the potential to be first-in-category and first line and have meaningful commercial opportunity. We currently have four clinical stage programs in the areas of vaginal health, sexual health, contraception and menopause. And one product in the breast cancer supportive care category soon to enter Phase 1. And most of my remarks today will address these candidates. The first half of 2021 has been quite eventful for Daré. And the announcements we were able to make over the last two months have been the type of updates that every CEO enjoys making. We announced positive Phase 1 data for our hormone therapy product and up to $48.9 million grant over the course of five years for one of our preclinical contraceptive programs, the collaborative research agreement with the NIH to co-financially support and co-conduct our Phase 3 study for investigational contraceptive Ovaprene. And just this week, we announced the FDAs acceptance and priority review of our NDA for bacterial vaginosis product candidate with a December 7 2021 PDUFA target action date. It has definitely been a meaningful few months for Daré and we hope it will continue to prove to be a meaningful year for us, given what we have yet to come. With that backdrop, I'll now provide some additional context on this accomplishments, and specifically dive deeper on the relevant updates related to our four clinical stage program, as well as that supportive care cancer program. In the vaginal health category of bacterial vaginosis, which impacts an estimated 21 million women in the United States. I'll start with DARE-BV1. During the second quarter of 2021 and in line with our custom, we submitted a new drug application or NDA to the FDA. We requested a priority review at that time of submission. We announced that the FDA accepted to filing the NDA for DARE-BV1for the treatment of bacterial vaginosis. And the FDA granted this application priority review and start a Prescription Drug User Fee Act or PDUFA date of December 7, 2021 for the target completion of its review at the NDA. The FDA grants priority review to applications for potential drugs that if approved, would provide a significant improvement in the safety or effectiveness of the treatment of a serious condition. The NDA re-file the supported by positive results from the DARE-BVFREE Phase 3 randomized, double-blind, placebo-controlled clinical trial evaluating DARE-BV1in women diagnosed with bacterial vaginosis. A condition that can cause serious health effects and risks and it's very disruptive in terms of the symptoms. And as I mentioned, it's estimated to affect approximately 21 million women in the United States. DARE-BV1is an investigational thermosetting bioadhesive hydrogel containing clindamycin phosphate 2% that's designed as a one-time vaginally-administered treatment for bacterial vaginosis. The acceptance of this NDA marks a major milestone not only for Daré as a company but importantly for the millions of women that are impacted by bacterial vaginosis. It is our goal as a company to bring to market products and products like this that has the potential to improve outcomes and convenience for women. As DARE-BV1 demonstrated that has the potential to do in the Phase 3 study where a single vaginal dose of DARE-BV1 achieved clinical care rates in the range of 70% to 81%. Specifically, the results from the DARE-BVFREE study demonstrated DARE-BV1potential to improve clinical cure rates in a convenient one-time dose compared to those of currently FDA approved branded products indicated for the treatment of bacterial vaginosis. Patients in the study were evaluated during three clinic visits, day one which is screening and randomization, day 7 to 14, which is an interim assessment visit and day 21 to 30, which was the test of cure visit. This study met its primary endpoint demonstrating that as a primary therapeutic intervention, a single vaginal dose of DARE-BV1was statistically superior to placebo at that day 21 to 30 assessment in the modified intent to treat population. This typically 70% compared to 36% of subjects can be cured. Additionally, DARE-BV1demonstrated clinical care rates of 77% a day 21 to 30 and 81% and 85% of day 7 to 14 in the per protocol population, compared to 43% and 30% for placebo claims respectively. Current FDA approved products have clinical cure rates in the range of only 37% to 68%.DARE-BV1wanted to see both qualified infectious disease product or QIDP, as well as fast track designations from the FDA for the treatment of bacterial vaginosis. Under the QIDP designation is approved, we expect DARE-BV1will receive five years of market exclusivity, in addition to the three years available for having generated new clinical data. Ongoing strategic discussions and other activities to support a robust market launch of DARE-BV1in 2022 is approved are underway and we plan to finalize and announce the commercialization strategy for DARE-BV1in the U.S. by year-end. John will be providing additional color in a moment. In the sexual health category, I'll now provide an update on Sildenafil cream 3.6%, our investigational product retract version of erectile dysfunction. In March of this year, we commenced our Phase 2b clinical study evaluating Sildenafil cream and investigational cream formulation of Sildenafil, the active ingredient in Viagra for topical administration to treat female sexual arousal disorder or FSAD. FSAD is a physiological condition characterized by the inability to attain or maintain sufficient genital arousal during sexual activity and of the various types of female sexual dysfunction disorders. It is most analogous to erectile dysfunction in men. FSAD represents a large unmet need, with an estimated 10 million women in the U.S. experiencing distress from symptoms of low or no sexual arousal and actively seeking treatment. No FDA approved products exist today to treat FSAD despite the fact that the FSAD market is estimated to be as significant, if not more so, as the erectile dysfunction market in both the U.S. and the rest of the world. If our clinical development is successful Sildenafil cream has the potential to be the first FDA approved FSAD treatment option. We are actively enrolling subjects into the Phase 2b respond clinical study evaluating Sildenafil cream as a potential treatment for FSAD at sites located across the country. During our last call, we certainly would continue to provide updates on the progress of the Phase 2b response study and the potential impact of COVID-19 or an expected timeline. We are monitoring this closely. And particularly given the evolving COVID-19 guidance and case-loads across the country, we feel it’s challenging to confirm anticipated timing for the top line data readout until we complete the planned interim analysis to determine the ultimate size of the study. We have recently seen the pace of enrollment at certain sites declined because of those sites being in locations where the case was higher and adhering to government guidelines recommending reductions or changes in their operations intended to reduce the spread of COVID-19. Due to the impact potentially on the pace of enrollment overall for the trial resulting from government recommendations, or orders intended to reduce the spread of COVID-19 or from other effects relating to COVID-19. We cannot predict with reasonable certainty at this time when the interim analysis will be conducted or when will the top line data from the trial. As we have done today, we will continue to provide updates as the trial continues and we can better project timelines. Now I'd like to provide an update on our investigational product Ovaprene, a potential first in category option and the over $7 billion U.S. contraceptive category. Last month, we announced that we entered into a cooperative research and development agreement which is also known as a CRADA with the Eunice Kennedy Shriver National Institute of Child Health and Human Development NICHD for short, which is part of the National Institutes of Health or NIH. This is for the pivotal Phase 3 study of Ovaprene. The CRADA will allow us to leverage the tremendous development expertise at the NIH in contraceptive clinical studies and to share the cost of the pivotal Phase 3 study. Ovaprene is our novel, hormone-free monthly contraceptive candidate whose U.S. commercial rights are under a license agreement with Bayer. The next stage of clinical development for Ovaprene is with pivotal Phase 3 contraceptive study that we will be conducting under the CRADA with the NICHD. Grant funding was previously provided by NICHD and it supported the conduct of our three pivotal clinical study of Ovaprene. The current agreement reflects the NICHDs continued support for the development of Ovaprene and will allow us to leverage the contraceptive clinical trial expertise of NICHD, while also sharing this class of the Phase 3 study with NICHD. Specifically, the study will be supported by NICHDs contraceptive development program or CDP. The CDP oversees the contraceptive clinical trial network or CCTN, which was established in 1996 to conduct studies of investigational contraceptive and the study will be conducted with the CCTN with this NICHD contractor health decisions. Daré is responsible for providing their clinical supplies and Ovaprene and coordinating interactions with and preparing and submitting supportive regulatory documentation to be FDA. Daré and NICHD will each provide medical oversight for the trial and final data review and analysis and we'll work together to prepare the final reports and trial results. Under the CRADA, we Daré have agreed to contribute 5.5 million towards the total estimated cost to conduct the pivotal Phase 3 study and the NICHD will be responsible for the remaining costs related to conduct pivotal study, and they will manage payment of expenses to help decisions, the clinical trial sites and the other parties involved with the study. Lisa will discuss this arrangement in more detail shortly. As I mentioned earlier, the U.S. Commercial rights for Ovaprene under a license agreement with their Bayer. Bayer and Daré entered into this exclusive license agreement for the commercial rights to Ovaprene in January 2020. Under the agreement we receive access to there's extensive clinical and market expertise through up to approximately 80 hours per week and advisory support and we maintain control over clinic development and regulatory approval process. Bayer has the right to obtain exclusive rights to commercialize the product in the U.S. following the completion of the pivotal clinical trial being undertaken by us with the NICHD if Bayer in its sole discretion, make the payment to Daré of 20 million, which we intend to apply to reimbursement of our portion of the clinical study and manufacturing costs of the program. And at that point, the exclusive license to commercialize overpaying in the U.S. will become affected. We will also be entitled to receive commercial milestone payments, potentially totaling 310 million, in addition to double-digit tier royalties on net sales. In order to initiate this pivotal Phase 3 study, we must have an FDA cleared Investigational Device Exemption or IDE. We currently plan to file and IDE for over praying in the fourth quarter of this year. And then pending the FDAs review and clearance of the IDE we intend to initiate that pivotal Phase 3 study in 2022. Next for the estimated 45 million women in the U.S. who are approaching are in menopause. Let's talk about our investigational hormone therapy product DARE-HRT1.So during the second quarter and in line with our guidance, we reported the positive and top line data from our Phase 1 clinical study of DARE-HRT1which we conducted in Australia. We believe this unique intravaginal ring platform technology offers a versatile drug delivery system in women's health with the potential to deliver different active drugs at different rates, and thereby improving convenience and outcomes potentially across multiple indications. The idea of drug delivery technology was originally developed by Dr. Robert Langer from MIT and Dr. William Crowley from the Massachusetts General Hospital and Harvard Medical School. And this first application is first of all technology that's being clinically tested. But clinically tested is the state DARE-HRT1 use of it, which is an investigational 28-day, intravaginal delivery of hormone therapy. And the  contains both in this case bio-identical estradiol and bio-identical progesterone, for the treatment of the vasomotor symptoms and the genital urinary symptoms and syndrome associated with menopause. On June 28, we announced the positive top line results from our Phase 1 clinical study of DARE-HRT1in Australia, that randomized open label  Phase 1 study was designed to evaluate the pharmacokinetics of DARE-HRT1and approximately 30 healthy postmenopausal women with intact uterus. The primary objective of the study was to describe these pharmacokinetic or PK parameters of two different dose combinations over 28 days. Secondary objectives in the study were to assess the safety and tolerability of DARE-HRT1 and to compare the systemic exposure of , which importantly, is the active form of the therapeutic hormone for therapeutic hormone replacement purposes, as well as estradiol and progesterone from of DARE-HRT1 over 28 days and compare those against a combination of FDA approved oral estradiol and oral progesterone products evaluated in that same Phase from study. The levels of estradiol release from both the lower and higher dose formulation of DARE-HRT1 evaluating the study achieved or exceeded the levels that were targeted for hormone therapy. Target levels of progesterone for hormone therapy for the treatment of vasomotor symptoms or the vaginal symptoms of the menopause were established by reviewing PK levels that have been published for FDA approved products for both the treatment of the MS as well as the genital urinary symptoms of menopause. And based on the estradiol PK data in DARE-HRT1in the Phase 1 study. The results support the potential of DARE-HRT1as an effective hormone therapy for both vasomotor symptoms and vaginal symptoms associated with menopause. The levels of progesterone importantly released from both versions of DARE-HRT1 evaluation study also met the objectives of releasing progesterone and specifically progesterone is used in hormone therapy to reduce the impact of estrogen or non-target sites such as the endometrial and to prevent estrogen induced endometrial hyperplasia. In addition, the treatment was well tolerated with the most common of adverse events consisting of vaginal systems that are consistent with other vaginal products. DARE-HRT1 also had a high level of respectability in the study with over 80% of subjects on either the low or high dose versions of DARE-HRT1product reporting the IVR as comfortable or very comfortable, and additionally, over 80% of the subjects in each dose group stated that they were either somewhat or very likely to use the IVR for a women's health condition or disease if she needed it. For some women hormone therapy is a highly effective treatments for the symptoms associated with menopause, like the hot flashes and the vaginal dryness, and it may also prevent bone loss and fracture. The delivery of hormone therapy over 28 consecutive days with no daily introduction, supports DARE-HRT1 potential to be a first in category option, offering ease to use and continuing dosing to women suffering from menopausal symptoms. There are currently no FDA approved products that continuously deliver hormone therapy with both estradiol and progesterone together over multiple consecutive weeks. We plan on submitting that data from that Phase 1 clinical study for publication in a peer reviewed journal. And our clinical development strategy is to leverage the existing safety and efficacy data on the active ingredients in DARE-HRT1 the estradiol and the progesterone and to utilize the FDAs 505 b2 pathway. In order to obtain marketing approval of DARE-HRT1in the U.S. We’re in the process of updating our regulatory and clinical development strategy given these positive Phase 1 data and we'll provide guidance on the next step of this program as soon as possible. And finally, before I turn it over to John and Lisa, I want to talk about the approximately 3.8 million women in the U.S. to have a history of breast cancer hormone receptor positive of those women hormone receptor positive is the most common type of breast cancer. And the prevalence of all of our vulvar and vaginal atrophy or VVA in postmenopausal breast cancer survivors is estimated to be 42% to 70%. We would like to provide a supportive care option for those womenDARE-VVA1. So as I mentioned in my opening remarks, we plan on initiating a Phase 1 clinical studies later this year in Australia for this breast cancer supportive care program, DARE-VVA1. DARE-VVA1 is our proprietary investigational formulation of tamoxifen for vaginal administration to treat vaginal atrophy. As a non-hormonal approach to addressing vaginal atrophy, it can be an important option for women with a history of or at risk for hormone receptor positive breast cancer. VVA is often the outcome of effective breast cancer treatments, and one of the unpleasant side effects of VVA is painful intercourse. For many women and appropriate treatment for VVA is supplemental estrogen. However, estrogen may pose a risk to the women at risk for hormone receptor positive breast cancer and hence, DARE-VVA1 may offer solution for these women and others for whom hormonal treatment is not an option. We plan to commence that Phase 1 clinical study in the second half of this year in Australia and look forward to providing updates in the progress of that program. I'll now turn it over to John to provide a business and corporate partnership update on our two latest stage programs specifically DARE-BV1 and Ovaprene.
John Fair: Thank you, Sabrina. Now that the NDA for DARE-BV1 has been accepted for filing by the FDA, and priority review has been granted. We anticipate acceleration across the three main commercialization strategies we've been progressing in parallel. Given that the DARE-BV1 partnering process has been strategically and purposely aligned with the DARE-BV1 regulatory process.Those scenarios include a straight out license to a strategic partner, where the partner is solely responsible for commercialization in exchange for milestone and royalty payments to Daré based on the revenue generated by the product, a second scenario where we strategically partner DARE-BV1, but we’ve options to have a role in the commercialization of the product. And finally, a scenario we can play a direct and active role in commercialization that includes influencing the go-to-market and planning strategy, including market introduction through a strategic partnership with a full service contract sales organization. All three options are currently under discussion. Principally and in the context of DARE-BV1 and really across all of our product candidates. We are focused on doing what's best for women, which is to ensure that these products have broad commercial access, and that benefits all of our stakeholders, specifically our investors. We will use this lens to help guide us through our process and to solidify the best strategic opportunity for the introduction of DARE-BV1 if approved. As many of you know, women diagnosed with bacterial vaginosis are challenged, often routinely to find interventions that can rapidly address the signs and symptoms of infection and also address and resolve the underlying infection itself. Currently available FDA approved treatment options work about half the time on average. It's our belief that DARE-BV1s product profile will appeal to both patients and providers, as it has the potential to provide a clinically meaningful improvement over currently approved FDA products, particularly in terms of a better opportunity for clinical cure, which includes resolutions of the signs and the symptoms of infection. And in parallel with our strategic partnering discussions with DARE-BV1,we are actively executingother commercial introduction workstreams, such as manufacturing and market access, with the goal of allowing us and our strategic partner to execute against a robust 2022 launch, should we receive FDA approval in December of this year. In summary, we are encouraged with the progress of the DARE-BV1 program, and we are excited at the prospect of bringing this important new therapeutic option to women and providers. And we believe that we are well positioned to communicate our definitive commercialization strategy before the end of this year. So I'd also like to take a moment to highlight the ongoing partnership with Bayer for our hormone free monthly contraception product candidate Ovaprene, we are delighted to report that the partnership is progressing as well, if not better, than we could have expected Bayer as part of their commitment to provide up to two full time equivalents. In an advisory capacity to support the development stage of the program has been actively supporting Daré across all of the key functional areas, including CMC, regulatory, as well as strategic planning to form downstream commercialization, to optimize the introduction of this exciting new product candidate if it's approved. As I'm sure many of you know, Bayer is a worldwide leader in the Ovaprene category. And that was one of the key drivers behind our decision to partner Ovaprene at this stage of clinical development. We believe that our Ovaprene partnership with Bayer is a clear example of our commitment to doing what's best for our stakeholders, our shareholders and for women, which is core to our strategy here at Daré. So we look forward to keeping you updated on the Bayer partnership, as well as other key strategic initiatives here at Daré. And with that, I will now turn the call over to Lisa to give you a financial update.
Lisa Walters-Hoffert: Thanks, John. Hi, everyone. Thanks for joining us today. I would now like to summarize Daré’s financial results for the quarter ended June 30, 2021 Daré’s business model is to assemble, advanced and monetize a portfolio of novel product candidates in women's health. As a result, our expenses consist of corporate overhead, portfolio acquisition and maintenance costs, and research and development or R&D activities to advance our candidates through clinical and regulatory milestones, including approval. For the quarter ended June 30, 2021, Daré’s general and administrative expenses were approximately $1.8 million and our R&D expenses were approximately $7.3 million. The quarters increase in R&D expenses compared to the same period in 2020 primarily reflects increased costs of clinical regulatory affairs and other development activities related to Sildenafil cream DARE-BV1Ovapreneand DARE-HRT1. Our comprehensive loss for the quarter was approximately $9.2 million. During the six months ended June 30, 2021. net cash proceeds raised from financing activities were approximately $24.6 million and reflected sales of common stock under our ATM program, equity line and warrant exercises. We ended the quarter with approximately $9.1 million in cash and cash equivalents. Subsequent to the quarter’s end between July 1 and August 10, 2021. Daré received additional net cash proceeds of approximately $25.4 million from sales of common stock under our ATM program. In addition, in July, we received an initial cash payment of approximately $11.4 million in non-dilutive grant funding to support the development of DARE-LARC1. The entire grant awarded for up to $48.9 million, the future payments contingent upon the DARE-LARC1program achieving specified development and reporting milestones. As of August 10, 2021, we had approximately 70.5 million shares of common stock outstanding. I'd like to take a few moments to highlight a few other arrangements that we expect will favorably impact our cash burn going forward. So first is recall that under Australia's current research and development tax incentive program, eligible companies conducting R&D activities in Australia may file for and receive up to 43.5% of their eligible expenses as a cash payment in the following year. We completed our DARE-HRT Phase 1 study in Q2 and intend to initiate our DARE-VVA Phase 1 study in 2021, both conducted through our Australia subsidiary. During the first half of this year in 2021, we received a cash payment of $250,000 and that is in U.S. dollar value in connection with DARE-HRT1 study expenses that we incurred last year in 2020. We intend to apply for the maximum amount eligible for reimbursement under the program in early 2022. Based on allowable R&D expenses related to DARE-HRT1 and DARE-VVA1incurred this year in 2021. Second, as Sabrina discussed a bit earlier, in July, we announced a cooperative research and development agreement or CRADA with the NICHD for the pivotal Phase 3 study of Ovaprene. The agreement will allow Daré to leverage the tremendous contraceptive clinical trial expertise of the NICHD, while also sharing the costs of the Phase 3 pivotal study. Under the CRADA Daré has agreed to contribute $5.5 million between July 2021 and April 1, 2023 towards the total estimated cost to conduct the pivotal Phase 3 study. The NICHD will be responsible for the other costs related to the conduct of the pivotal study and will manage the payment of expenses to third-parties. We believe the NICHDs contraceptive trial experience and financial support will allow for the completion of the Ovaprene pivotal Phase 3 study in an efficient and cost effective manner. Third, grants have been a very attractive source of non-dilutive funding for Daré. And we will continue to use our existing grants for allowable expenses and to explore and apply for additional grant funding in the future. In closing, we will endeavor to be creative, collaborative and opportunistic in seeking the capital necessary to advance our candidates and build shareholder value. We encourage all investors to review the more detailed discussion of our financials and financial condition, our liquidity and capital resources and our risk factors in our form 10-Q for the quarter ended June 30, 2021, which was filed today, as well as our Annual Report on form 10-K for the year ended December 31, 2020 that was filed on March 30 of 2021. I would now like to turn the call back over to Jessi, our operator.
Operator: Thank you speakers. Participants, we will now begin the question and answer session.  First question is from the line of Zegbeh Jallah of ROTH Capital Partners. Your line is now open.
Zegbeh Jallah: Hi, thanks for taking my question. Just have a few here. I think the first is for DARE-BV1. So congrats on the PDUFA date that's happening before the end of the year. We just kind of curious if the approval processes that include an inspection of your manufacturing facility. And then we're also just curious to see who's doing the manufacturing for the product.
Sabrina Martucci Johnson: Hi, thanks for the question. Yes, so in terms of whether it'll include an inspection, those are done at the discretion of the FDA, often there are pre approval inspections, they're not always held. So at this time given that we just received the NDA accepted to file, I'm not really in a position to answer that question, but definitely would be happy to keep people updated over time. And then we have not disclosed the manufacturer of this product other than to say it's a third-party contract manufacturer that we use. That is really an expert in the manufacturing of vaginal creams and gels. That's what they do for business. And this is not their first time through a process like this. So they were very well versed in commercialization and FDA potential infection.
Q – Zegbeh Jallah: Thanks, Sabrina. And then John also mentioned some manufacturing efforts and market assets efforts. Can you elaborate on that if possible for DARE-BV1 and how you are thinking about that also in terms of -- I suppose, helping with the partnership that's coming out giving you more leverage, I suppose.
Sabrina Martucci Johnson: So as John noted, we're very purposely have been managing our commercialization strategy partnership process in parallel with the regulatory process, which really puts us in a nice strategic position that we are kind of fortunate to be able to do with a product like this, given the understanding of the indication and also the work that we can be doing in parallel to ensure that no matter which approach we then strategically takes, the product is well set up to be successful. And so on the manufacturing front that really means continuing to work with our third-party, which is very easy for us to do, because they are a third-party manufacturer, and therefore, it's very easy to, to get things ready. And then you know, hand that off to someone if that makes sense. And so that includes all of the work that we would need to basically have the commercial supplies ready, right to support any sort of regulatory process inspection process at the manufacturer, and the scaling and, and everything that's needed to ensure that commercial supply is ready when we are ready to watch the product and, and have labeling and all that good stuff. So there's all about work, obviously ongoing with a manufacturer, and then work that happens behind the scenes to support that right, to support the market introduction in terms of sterilization, and things like that, that need to happen. So all of that is going on, on the commercial side in terms of manufacturing. And then on the market access side, which we all know is such an important factor and consideration. There's work that frankly, no matter what path we take to launching this product is going to serve the product well to have in place. And maybe John, if I can turn it over to you to just say a couple words about the landscape analysis market access some of that work that we're doing to prepare for that.
John Fair: And thanks for the question. So yes, we really view this as fundamental to the strategic launch of the asset, whether that's a scenarios that we've outlined during the call. So, we want to be prepared to understand the patient journey, want to be prepared to understand the market access levers, we're going to need to pull, when the product makes it to market, whether that's in context, or in conjunction with a partner. And we also want to understand the landscape that we're going into. Now, the good news is a lot of this is already well known, well understood. I mean, that's the beauty of bacterial vaginosis is it's a very well known, very well understood therapeutic category. So for us, it's really finding that way to differentiate the product in context of the segment we're talking to. So whether that's a payer, whether that's a provider, whether it's a patient, and that's really what this work is going to support moving forward.
Q – Zegbeh Jallah: Thanks, John . And then just another follow-up there. I think that third scenario you mentioned for commercialization was perhaps influence in the market strategy. And so we just wondering, if you were to, kind of have your own sales team? How long do you think that could take to, get the product out there meaning how do you think it will impact the product launch or the timing of the launch? And then how many sales folks do you think you're going to need to have on board for this product?
Sabrina Martucci Johnson: Yes, so maybe I'll answer this on a on a high level. And then we should probably wrap up your questions which have been great, so that someone else can get in touch. In terms of a high level, let me just say a couple words about this. So in terms of timing of launch, really, we've been managing this process. So whichever one of these potential paths we choose, in the end, the timing really would be the same in terms of the launch timing. So part of what we've been wanting and hoping we're communicating clearly is that because of the nature of this product, and the nature of the therapeutic category, we have the luxury of being able to time the product process for strategic commercialization in parallel with the regulatory process, and not negatively impact or launch timing. So nicely, whichever way we go, the timeline is really the same. In terms of what would be required to launch I also wanted to make sure one thing is clear, which is, as we think about the launch of this product and frankly, this pertains to nearly every program in our portfolio. It's the same call point, meaning we're talking about the same universe of nurse practitioners and clinicians, physicians that manage these indications, and in some cases, some might be a little bit higher than others depending on the indication, but it's really the same call universe. And so it also, that's one of the reasons that we have the flexibility of thinking about strategically what might make sense in terms of inactive participation by Daré in the BV1commercialization because we have a whole portfolio of other women's health products behind the BV1 which have that same call point. And we believe that there are ways that if we were looking to move forward with this strategic partnership scenario with the contract sales organization, that there would be a way to do this responsibly financially and economically and strategically. And so beyond that, that's really at this point, all I'm prepared to say in terms of the strategy until we have more to reveal specifically I like here we get specific. But hopefully that gives you a little bit of context of how we're thinking about it, how we're thinking about the market, how we're thinking about the launch and importantly, that we're moving the process forward in a way that we believe is best for the product best for Daré best for our shareholders. And that includes in a manner that doesn't delay of launch are negatively impacted launch timing.
Q – Zegbeh Jallah: Thanks, Sabrina.
Operator: Next question is from the line of Doug Tsao of H. C. Wainwright. Your line is now open.
Sabrina Martucci Johnson: Hello.
Operator: Again, Doug Tsao of H.C. Wainwright. Your line is open.
Chris Bialas: Hi, can everyone hear me?
Sabrina Martucci Johnson: Yes, Yes.
Unidentified Analyst: Yes. Hi, everyone, Chris Bialas here on for Doug Tsao. So congrats on the quarter, particularly on the NDA acceptance. So we just have two questions. The first is, can you give us a little some more detail on how the Ovaprene i.e. processes going? And, aside from the cost savings, what do you see as the main benefit of the collaborative research and development agreement? And how do you think it's the impact the study? And then I have one more after that.
Sabrina Martucci Johnson: And thanks for asking about that. That is arrangement. So I'll start first with the IDE, we're progressing with those activities to file the IDE it really is a matter of pulling together the non-clinical and manufacturing related information we've shared before that we really do evidential silver lining of the COVID time, basically, last year to take advantage of opportunities to have interactions with the FDA as we're planning the Ovaprene program. And so the IDE filing is really a combination of those discussions and the work that came out of it. So that's underway. And as we mentioned, we're planning to get that filed in the fourth quarter of this year. And along those lines, we have been obviously speaking with the NIH and NICHD, specifically for some time about Ovaprene, as I mentioned, in my opening remarks, they funded through a grant the pre-pivotal studies that that, frankly, led to our partnership was there on this program. And so they've been involved with Ovaprene with the majority perspective from our clinical work from day one on the program in so and had been very helpful throughout that process. And so when the opportunity arose when it was clear that there was an interest on their part, to continue that collaboration into the pivotal study, it was clearly in a really positive outcome for the program. And I'll tell you specifically why. And it really falls into three categories. So one, obviously we talked about is the financial support. We embrace non-dilutive funding strategically for our programs, and clearly did so in this case, as well, it's a great opportunity to offset some of our costs, and particularly in light of the financial arrangement that we have with their downstream. So in our ability to maintain control over the over the clinical trial, so that's obviously positive. But the other two reasons that the collaboration is so positive, has to do with first kind of planning for success and then executing for success. So planning for success is really the work that that we're working with them now. You asked about the IDE filing and part of that IDE submission that goes in is of course the pivotal study protocol. And being able to work with the NIH on the actual protocol design, along with Bayer we have now just significantly increased the manpower and women power on designing that Phase 3 trial and really thinking about from the Bayer perspective, all of the things that we're going to want to have from a commercial lens, right to make sure the brand has the robust opportunity it deserves. As from the NIH perspective because their clinical trials network and had so much experience from running clinical trials across a variety of different types of studies and types of products. They're bringing to the protocol design that lens of what's been successful, what's been challenging, what they would like to see happen with Ovaprene, but we embarrassed, you'd like to see how this happened with Ovaprene. So there's that benefit in terms of what's going actually into the IDE. And then there's executing for success. And executing for success is really going to be helped by the fact that we get to leverage our already existing great relationship with health decision, they have worked with us to-date on all of our clinical development programs. And so we have a very strong as you may remember, strategic partnership with health decisions. So through this collaboration, we get to work with health decisions, again on the execution because through the NIH likes to work with as well for their contraceptive programs. And then we'll have their whole contraceptive clinical trials network, very experienced clinical trial is in contraception specifically, as sites for the study. So we believe all of those factors, obviously, the financial support, but importantly, the operational support that we get to tap into both but before the idea submitted and then subsequently for the trial conduct is why this was such a great strategic relationship for us to have for the Phase 3.
Unidentified Analyst: Awesome, thank you. That was very helpful. So, just a one quick one, you mentioned about your core competency is getting this type of non-dilutive funding. And you made these two major announcements over the last month or so. So can you kind of tell us a little bit more about your strategy for securing such funding? How much effort to devote to this? And should we expect any more such funding in the near-future? Thanks.
Sabrina Martucci Johnson: Thank you. That’s a wonderful question. And we are very humble at Daré that we are very proud of these accomplishments, because these are not these kinds of relationships and the kind of funding that came forward through both of these relationships that we're talking about the 48.9 million for the DARE-LARC1 program, and then the co-funding from the NIH for the Ovaprene Phase 3, those are not trivial amounts, obviously. And the work that goes into establishing those relationships, the diligence that those parties do on us, and our ability to execute is quite considerable. And so it's not just a matter of time and patience and submitting, but it's also a matter of frankly, Daré executing and our track record of execution that has really enabled those kinds of relationships at those kind of levels with the main. And so it certainly is an ongoing part of our strategy. As Lisa touched on, we really like to look at all sources of funding that can help advance our portfolio we have assembled a portfolio of very interesting potential first and category products across a variety of indications, many of which have this opportunity for non-dilutive funding. So we do continue to fly as you notice, we tend to wait to break the news until we know we got the grant, even though these kinds of efforts are not just days and months, but years in the making. And so we clearly it's something we've focused on across the portfolio, and we are certainly hopeful that we will continue to be successful.
Unidentified Analyst: Awesome, thank you very much.
Operator: Next question is from the line of Kumar Raja of Brookline Capital Markets. Your line is now open.
Kumar Raja: Congratulations on all the progress and thanks for taking my questions. First, with regard to BV1, do you expect add-on meeting and also in terms of labeling discussions and label expectations? When is that expected to take place? And how is that going to impact your strategy in terms of partnership?
Sabrina Martucci Johnson: Yes, great, great question. So I think the first part, bit for me, but I think you have to be expected a panel meeting, BV1 there's a guidance document out, it's a pretty straightforward indication. So it's not something we would anticipate. In terms of the labeling and what we might expect in labeling and how that impacts the partnering strategy. What I was saying on that is that again, there are approved products for the . So, one can definitely look at the approved products in terms of what is typical to go into the label particularly section 14 around the clinical outcomes. And so that's definitely helpful for us. It has sort of ranged evolved over the years of different products have been improved over time. And so that certainly, is something that we’re looking at, and we'd like to take into consideration. But, clearly, we can look at existing product labels to get a sense of how the information is typically communicated. And it is typically communicated in those labels, along the lines of what we shared with cure rates for the primary endpoint, which is typically that modified intent to treat population at a test of cure visit, which in our case is day 21 to 30. But in some cases, it's been day 7 to 14, depending on the product and the time that we choose approve. So and in terms of how our labeling can impact the partnering process. Again, what I would say is, we've been very thoughtfully managing this process and managing it in parallel with certain regulatory kind of milestones and objectives as we've been advancing the programs and advancing the program through this process. And so, we will definitely keep everyone updated, we've guided that we expect to have something that we can share with you more definitively around that commercialization strategy to support that 2022 launch by the end of this year. And that certainly aligns with this regulatory process.
Kumar Raja: And with regard to Ovaprene, as you think about the pivotal trial, how are you thinking in terms of expectations for the pole index? And also, what are your thoughts on potential exclusion criteria there?
Sabrina Martucci Johnson: Yes, so, nice, nice question about how we think about the clinical outcomes of Ovaprene. And so the study that we have conducted today, that the post test study, which is the pre pivotal study, it uses a surrogate marker for contraceptive effectiveness. And so at this point in time, those are really the best data we can point to what we would expect Ovaprene to how we would expect it to perform. It uses the likely typically use effectiveness rates is what does that prove pivotal test study is predictive. And so when we look at the outcome of that study, and then we look at other contraceptive studies that have been published that has done the pre pivotal test study, and then it's gone on to one full pregnancy prevention, contraceptive effectiveness studies, the findings would be indicative of a product that should have a typical use effectiveness of 86% to 91%. So that's what just right below the range of hormonal methods, which are 91%, typical use effectiveness method. So that's what the PTT trial, the test trial that we ran would be predictive of. In terms of the actual pregnancy prevention rate, which by the way, effectiveness rate, which tends to be kind of the BBB is effectiveness rate is like the inverse of your . So, we will know that definitively once we conduct the clinical trial that we've been talking about the Phase 3 that based on the pre pivotal, that's the range that we would be predicting, based on this outcome. And for the non-hormonal methods, I should add, that would be quite promising. I mean, this is one of the reasons that there's so much interest by a variety of parties like there at the NIH and Ovaprene, it's because for the non-hormonal methods, apart from the intrauterine device, which is implanted, it's challenging to achieve that level of effectiveness. The only products that have ever historically done that are the diaphragms, they're the only product vaginal gels, the vaginal femicides do not have that level, they've got a 27 index. Condoms do not have that level, they do a little bit better, they're 82% effective. But so only diaphragms have been able to achieve it, but their . So the ability to achieve that kind of effectiveness level with them once a month products would be quite promising for the field. And we're certainly hopeful that that Ovaprene goal will deliver the way that the test study predicted.
Kumar Raja: And in terms of the exclusion criteria?
Sabrina Martucci Johnson: Oh, sorry. Yes. So that should be done fairly. What we have been looking at it's fairly standard for contraceptive studies. So they're pretty usable in terms of the expectations both on what requires for inclusion and exclusion, and so we right now are expecting that it will quite closely mere pending, obviously, feedback from the FDA, but what we're looking at would play closely mere other countries that do effectiveness studies.
Operator: Thank you participants. I'll now turn the call back over to Sabrina Johnson for final remarks. 
Sabrina Martucci Johnson: Well, thank you, everyone, for taking the time this afternoon for the call for the great questions. And we really appreciate that you took the time to hear about our recent updates, our strategies and to improve options and health outcomes for women. That's what we're doing, and our ongoing commitment to drive value for all of our stakeholders. So in closing 2021, the year with a number of potential meaningful developments for Daré, some of which we already accomplished and talk about and talked about today some of which have yet to come. And so during the remainder of the year, we definitely look forward to keeping you updated on our progress against the important 2021 objectives, and the goals of the milestones that we believe will set us up to achieve important objectives across the portfolio in 2022 and beyond as well. So thank you for your time today.
Operator: And that concludes today's conference. Thank you all for joining. You may now disconnect.